Operator: Ladies and gentlemen, thank you for standing by and welcome to the Heidrick & Struggles Q1 Fiscal Year 2020 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]I would now like to hand the conference over to your speaker today, Suzanne Rosenberg, Vice President of Investor Relations. Please go ahead.
Suzanne Rosenberg: Good afternoon, everyone, and thank you for participating in Heidrick & Struggles 2020 first quarter conference call. Joining me on today's call is our President and CEO, Krishnan Rajagopalan; and our Chief Financial Officer, Mark Harris.We've posted our first quarter slides on the IR homepage of our website at heidrick.com and we encourage you to view them for additional context, but we won't be referring to specific page numbers during our opening comments.In our materials we refer to non-GAAP financial measures that we believe provide additional insight into our underlying results. A reconciliation between GAAP and non-GAAP financial measures can be found in the last schedule of the release. Also, in our remarks, we'll be making forward-looking statements and ask that you please refer to the Safe Harbor language contained in our news release.Krishnan, I'll now turn the call over to you.
Krishnan Rajagopalan: Suzanne, thank you. Good afternoon, everyone and thank you for taking the time to join our call. Before we begin and on behalf of all of us at Heidrick, we send our well wishes to everyone during these challenging and turbulent times and we truly hope that each and every one of you and your families are keeping safe and healthy. We're extremely grateful for the healthcare professionals and other front-line workers who bear the greatest risk in this fight against the pandemic. We're doing our small part by connecting companies who are in dire need of workers and those that unfortunately had to let go over furlough employees.I'm proud of our team at Heidrick for stepping up during this unprecedented period and continuing to serve our clients in a turbulent market. We believe we'll emerge from these uncertain times well-positioned to help our clients recover and plan for the future.On today's call, I'll start by reviewing our first-quarter results, then I will frame up our business is responding in the current environment and how we are positioned to not only navigate today's economic uncertainties, but also emerge stronger.The principles on which we built our business have laid the foundation for Heidrick to meet head on the challenges of disruptive events and at the heart of our company and our culture, is an incredibly engaged and dedicated team of professionals who rise to the occasion each and every day to serve our clients.In the first quarter, our team delivered solid results despite the onset of the COVID-19 pandemic which began in late January and the closing of our China offices. We generated revenue in the upper half of our guidance range and effectively managed expenses while driving strong operating income growth. Let me just highlight a few first-quarter metrics relative to the prior year period.Net revenue was in line with record year ago results of $171.6 million. Operating income increased by 10.7% and the operating margin expanded 100 basis points to 10.6%. General and administrative expenses as a percentage of net revenue improved 120 basis points to 18.8%. Adjusted EBITDA grew by 14.6% and adjusted EBITDA margin expanded 180 basis points.We ended the first quarter with 396 search consultants and 70 Heidrick consulting consultants, reflecting our promotions, strategic hiring and very low turnover. We're extremely proud of our newly promoted class of consultants who've proven their ability to deliver exceptional client service, drive strong business growth and strengthen the overall culture of our firm. They serve our clients as their trusted leadership advisors and also demonstrate strong leadership within our firm which is key component to our winning culture and ongoing success.Importantly, we remain focused on working at the top of organizations and we continue to drive strong collaboration between our executive search and Heidrick consulting businesses to ensure we're bringing the very best of Heidrick to our clients.In Heidrick Consulting, we saw a strong increase in first quarter net revenue, partially driven by a large consulting engagement that leverages our corporate lab offering, which uniquely creates behavioral change by shifting the mindsets of how people work to deliver transformational and breakthrough results.While our first-quarter results for Heidrick Consulting were only minimally impacted by the effects of the pandemic, we do expect this business to be more strongly impacted in subsequent quarters. Sure our team is quickly pivoting to create new thought pieces to new digital solutions that can be delivered virtually to help shift away from a reliance on physical gatherings of people.Looking ahead, the next several quarters will be challenging in the marketplace. In the Americas and Europe, we will see the situation get worse before it gets better. It's important to recall that meeting up to the pandemic underlying business fundamentals were strong.On the positive side we've already seen pockets of Asia beginning to return to a more regular trend. We know that market conditions will eventually improve, but it's too early to predict what that curve actually looks like. Nevertheless, we're certain that as conditions get better, our client needs for talent solutions will be more important than ever.In these uncertain times, we're squarely focused on four key objectives. First, ensuring the safety and well-being of our employees. Second, continuing to align and emerge through this crisis as one firm. Third, doing everything we can to help our clients during this difficult period. And fourth, emerging from this global pandemic even stronger as a firm.On our first objective, making sure employees are safe and healthy. With offices in every major geographic area around the world, we quickly adopted our global operating model to rapidly changing needs and safety concerns for our employees across the globe. Our global crisis team has worked continuously since mid-January to safeguard our employees' health and well-being. Our action are centered on maintaining employee safety and business continuity while concurrently supporting our clients.Our IT capabilities allowed us to rapidly shift to remote access solutions while also maintaining cyber safety, early on and close some of our offices in Asia and move to a work from home model and in early March, we shifted to a fully remote work model across the rest of the world.We're now back open in Beijing, Shanghai, Hong Kong, Seoul and Copenhagen and we're being very thoughtful on how we return to work putting the safety of our employees as our top priority.Regarding the second objective, continuing to align and emerge through this crisis as one firm. Even prior to the current pandemic, disruption had demonstrated itself to be the new normal and continues to radically transform the business landscape across every sector and industry. At Heidrick, we are not immune to disruption and are in the midst of our own transformation. We were the pioneers of executive search when our firm was founded back in 1953 and today while we continue to innovate and build for the future, we've already established a completely digital search platform.You've heard me speak to our digital client platform Heidrick Connect and never has it been more of an asset than today. Across our organization, we're also finding great new ways to virtually gather and connect with one another and importantly, our IT infrastructure was established to support a virtual environment. So our shift to a work from home operating model in mid-March was quite seamless.Our digital enterprise communication tools are being utilized in different ways to increase collaboration within our internal team and with our clients. We're assuring the latest developments related to our own solutions and diving deeper into how we can better serve our clients, how we can accelerate the pace of innovation within our firm and how we can fuel our future opportunities for growth.We also continue to align and enable cross enterprise collaboration between search and consulting. We're winning great projects around the world including board building exercises and succession planning as well as collaborative work on assessments related to mergers and acquisitions. We also continue to see activity in the private equity world and cross-border engagements.On the third objective, doing everything we can to help our clients during this difficult period. The key differentiator of Heidrick is our focus on the top of organizations. This focus yields many positive underlying demand characteristics particularly during times of crisis and we are committed to supporting our clients as our trusted global advisors.In today's operating environment of constant change and uncertainty, leaders have the ability to accelerate their business performance and transform with agility. With even more emphasis on agility clients are identifying skill gaps and senior management teams, which will bring new opportunities for both leadership consulting and executive search.Our teams continue to leverage our proven and distinctive data-driven and technology enabled talent and leadership solutions to proactively and seamlessly address our client's increasing need for data in this virtual world. The power of our people and our culture coupled with our IP and strong digital platform, position us well to deliver results. Already we have numerous projects that we have pitched one and completed virtually giving us even greater confidence we can operate successfully in this environment. We're also preparing to transition Heidrick Consulting Solution to a completely virtual model.In this environment, clients are also eager to hear from other companies and other industries about a variety of issues including best practices, concerns and different scenarios for the future workplace among others. Over the past several weeks, we have convened hundreds of C-Suite executives across the globe to share these ideas. These sessions have generated great feedback and opportunities for deeper engagement and we look forward to continuing to provide these types of valuable forms to our client community.We've also published several thought pieces on leadership and culture amid the COVID-19 crisis, advising on topics such as meeting with agility, emergency CEO succession planning, keeping employees connect and engaged, innovating with a distributed workforce and preparing for the future among others.Regarding the fourth objective, emerging from this even stronger as a firm. As we continue to work closely with our clients through these unprecedented times, we remain optimistic and believe that the types of transformational projects we are working on will continue to be strong business imperatives for our clients. We remain focused on retaining our talent and we continue to invest in our digital and data capabilities inside the firm.We continue with online training and development, including cross-training between search and Heidrick Consulting and as I mentioned, we're now digitizing our Heidrick Consulting offerings. Diversity inclusion which has been an important topic will be even more important as we emerge from this crisis. We have been investing heavily in the space and are launching a D&I practice across search and consulting. We recently surveyed over 400 companies across the globe and will release our findings this week.I'd also like your warm welcome to Laszlo Bock who joined our board this April. Laszlo, the Cofounder and CEO Humu and also previously served as SVP of People Operations for Google for a decade. His deep experience leveraging data and technology to create people-focused human capital solutions will serve us well at Heidrick.In summary let me be clear. The challenges we are facing are unprecedented, however we are a strong and resilient company both strategically and financially. We'll successfully navigate through the current adverse global conditions by leveraging our solid balance sheet, our market-leading position and our cycle tested team of professionals. Importantly, the assets we've been building including our proprietary infinity framework, Heidrick Connect and our suite of acceleration tools allow us to operate effectively and efficiently in an increasingly digital and virtual world. While there is uncertainty in the marketplace, we're confident we will emerge even stronger as one Heidrick team.Thank you for joining us and thank you again to our teams around the world for everything that you do and our deepest thanks to all the heroes on the front line who we should all applaud.Now let me turn the call over to Mark to elaborate on the quarter.
Mark Harris: Thank you, Krishnan. Good afternoon to everyone on the call today and we think you for joining us. Let me first start off by saying that I hope all of you are in good health and your families are safe during these trying times. I am going to change my call structure a little bit. As usual I'll start with a review of the first quarter results, which were clearly very strong, than augment that by going to a deeper dive into overseeing at the beginning of the second quarter of 2020.Quickly reviewing the first quarter numbers we saw another great achievement in net revenue of $171.5 million that was in the top half of the guidance we provided at the end of February, surpassing consensus and nearly identical to our record net revenue of $171.6 million in Q1 2019, even though we saw significant disruption in our Asia operations due to the COVID-19 pandemic.On a constant currency basis, our net revenue increased 1% and by any reasonable measure our team's accomplishments in the first quarter was clearly an incredible achievement. Looking at executive search, net revenue decreased $2.9 million or 1.8% to $155.5 million. On a constant currency basis net revenue decreased $1 million or 0.6%. The Americas region grew 1% or 1.4% on a constant currency basis, while Europe decreased 1.4% but on a constant currency basis grew 0.8%.Asia-Pacific is where we saw a much larger decline of 13.3% and on a constant currency basis, that declined 10.5%, which wasn't surprising given the impact of the pandemic to this region in the first quarter. As Krishnan noted, we're already beginning to see pockets of Asia returning to more normal levels in April which is a positive sign and a potential model for how we forecast the impact of markets in the Americas and Europe.We're also pleased to report Heidrick Consulting's net revenue growth of 20.6% or 21.2% on a constant currency basis. This shows good traction at the beginning of the year and again the strong growth is despite disruption caused by the pandemic. At the end of the first quarter we saw positive confirmation trends, but do expect those to be delayed during the shelter in place orders in the Americas, Europe and to a lesser extent in Asia.Turning to salary and employee benefits, we saw our fixed compensation improve by $0.4 million and variable compensation increase by $0.6 million due to the contingent compensation for the 2GET acquisition. Salary and benefits as a percentage of revenue was 70.6% compared to 70.4% in 2019's first quarter. General and administrative expenses improved year-over-year by 6.2% or $32.2 million and really due to travel and entertainment, taxes and licenses and office occupancy savings.As a percentage of net revenue, general and administrative expenses were 18.8% compared to 20% in 2019's first quarter, a 120 basis points improvement. Given our new work patterns, with more of our team working from home, traveling less and a continued expectations of our transformative digital strategy, we expect to see savings and G&A in the second and third quarters and potentially greater savings over the longer term.I am pleased to report that our operating income in the first quarter of 2020 increased 10.7% to $18.2 million. Further operating margins expanded by 100 basis points to 10.6% mainly driven by G&A reductions discussed. This allowed our adjusted EBITDA to grow 14.6% over the prior period to $23.6 million and adjusted EBITDA margin extending a 180 basis points to 13.8%.You will see an unusual charge and other non-operating income which is related to Heidrick's deferred compensation plan that allows participants to defer a percentage of their compensation and to various investment vehicles. We have to mark-to-market these assets and liabilities. Given the first quarter's global stock market performance, this had a non-cash impact of $3.9 million related to this plan.Turning to net income this was $8.7 million in the first quarter of 2020 and diluted earnings per share was $0.44. This compares to net income of $12.1 million and diluted earnings per share of $0.62 in last year's first quarter. However as I noted earlier, our income statement was impacted by the noncash $3.9 million charge related to deferred compensation plan in the first quarter that without this expense we would've had a higher net income and EPS.Given our performance in the first quarter, our Board of Directors approved and we announced that we will pay a $0.15 per share cash dividend in May for all shareholders of record on May 8. This dividend currently generates a dividend yield of nearly 3% while outpacing treasuries and any stand out in the industry.Now let me turn to the balance sheet. As you know in March we proactively drew down $100 million of our $175 million unsecured revolving credit facility. Borrowings under the revolving credit facility are scheduled to mature on October 2023 and barring annual interest rate of approximately 1.77%. We drew down on our facility solely as a cautionary measure and not because of any underlying need for liquidity, as we wanted to increase our cash position to execute on opportunities this market may present us.You can see the drawdown procedure are on the balance sheet, which were invested in very liquid, short-term investments mainly US government T-bills held at custody account with different banks. We've always been of the view that our facility is primarily for acquisitions, which has not changed. We entered the first quarter with cash and cash equivalents of $251 million compared to $114.4 million at March 31, 2019. Backing out the $100 million of credit facility draw, we finished the first quarter at $151 million, an increase of 32% over the same period last year.I'm pleased to report that we finished the quarter with $322 million of liquidity, demonstrating outstanding balance sheet strength. We can see this in our many liquidity ratios such as a 1.84 times quick ratio, 2.14 times current ratio and 1.21 times cash ratio. All of these show that we have very strong liquidity to meet our needs today and into the future. We have negative net debt due our cash being significantly higher than our debt while our credit facility has a debt covenant of not more than three times leverage allowed, which equates to nearly $300 million of leverage we potentially could to our balancing.However, we're not contemplating this amount of debt for the pipeline we're looking at even though our pipeline continues to be robust and aligned to our long-term strategy. We're working with many companies to explore partnerships similar to BTG, acquisitions similar 2GET Brazil and alliances similar to key vendors that support our initiatives.As current market pressures persist we expect our pipeline to expand with future opportunities to enhance our business model. In addition to our strong liquidity profile and financial flexibility, I think it's important to point out that compared to the great recession a lot has changed in our operations. We are now more digitally enabled to conduct our work without disruption. We have moved our business to the cloud and are protecting our data accordingly. We have been reducing our physical footprint and utilizing technology for some time now to allow our teams to work remotely.From a financial point of view, we have shifted our fixed operating expense structure to 66% of our total OpEx in the first quarter of 2020 from 86% in the past. Our G&A has been reducing over the last several years and we expect that trend to continue.Now let turn to Q2 and beyond, in light of the continued uncertainty due to the pandemic, we believe it is prudent to refrain from providing financial guidance for the second quarter currently. Instead let me give you some of the latest trends we are seeing in the month of April. Regarding confirmations, we are seeing confirmations lag by approximately 25% thus far in April compared to the same period last year, a trend that we would expect to continue at a more marginal declining rate through May.However, we are expecting improvements in the third and fourth quarter as more countries open backup for business. Regarding average fees, even though we've confirmations slow down, we're seeing our average fees per search holding up well. Our search mix continues to keep pace with our pre-pandemic history and our teams are doing a great job in delivery of our services.Turning to our on hold assignments, we are seeing our on hold rate increase significantly in April as our clients take a pause to evaluate market condition, but is very important to note that our cancellation rate remains at normal level. Through conversations with our clients, they believe these holds will be delays in the search and not cancellation as a still need time to execute on their strategy especially during these trying times.Based on these client conversations, we believe this supports our view that volume likely pick back up later in the year. Looking at our completion rate, we have not seen any meaningful impact as of now, meaning our clients are still hiring in the current environment and this is very important as is the main driver for our uptick and in fact in the first quarter of 2020 upticks were 19% higher than they were anticipated and continue through the quarter.However, as confirmations slow down and our backlog from Q1 2020 processes either to confirmations or holds, we would expect confirmations to gradually decline as well.Turning to Heidrick Consulting, which has some offerings that require in-person gatherings to deliver the service, we have started to see some assignments put on hold as well, but again not been canceled. Our clients very much want to continue with the projects especially given the changes they're seeing in today's work environment.In some cases, we're able to conduct these virtually and continue to educate the market on the effectiveness of digital delivery. Please do understand our backlog coming into the second quarter is very strong in both search and Heidrick Consulting. Thus this will partially offset our expected Q2 revenue decline, but we would anticipate our revenue decline may be more impacted in Q3 due to the revenue recognition rules. I hope this helps you understand what we know today.In summary our strong balance sheet and liquidity position gives us great confidence during this exceptional period of uncertainty to continue our drive to execute on our strategy that we started two years ago. This includes organically continuing our digital journey to further enhance what we do today, through greater automation and capturing more valuable information and also expanding our current platforms are pursuing new pass that augment our current platforms and greatly enhance our delivery abilities to our clients and increase shareholder value.With that we'd be glad to take your questions. Operator, over to you.
Operator: [Operator instructions]And your first question comes from Josh Vogel with Sidoti. Please go ahead.
Josh Vogel: Hey good afternoon, guys. Thanks for taking my questions and hope you and your families are doing well. My first question is, can you tell us what the bonus payout was in Q1 of this year and also remind me what it was last year?
Krishnan Rajagopalan: Sure. This year we made a comment that it was $205 million pertaining to Q1 and I believe last year it was about $175 million, $185 million pull it and spend a little bit of time.
Josh Vogel: Okay. Great. So when we think about both executive and the consulting side, what percent and type of business would you say is being conducted today virtually or remote and generating revenue for you?
Krishnan Rajagopalan: All of our searches that we got underway, we fully transformed our search model into a virtual modeling and we've done that actually in advance of this disruption. So we were able to do that. We're now prosecuting that way. So we're highly operational in all the searches that we got underway and all the searches are being conducted, interviews are happening, clients are seeing the presentation etcetera. So we're prosecuting every single one of those searches in a virtual model except for the ones that were on hold as Mark said.There are handful that went on hold because the clients weren’t ready to be able to proceed at this point in time. So we've got those on hold but on the rest of them all being worked on right now.
Josh Vogel: Okay. Great. Mark you had comments around G&A and you did a very nice job lowering it as a percentage of revenue. I was just curious does this reflect any linked quarter actions on your end in response to COVID-19 or was this just more of a new run rate you think that you can operate at when things are back to a new normal?
Mark Harris: No I think what I would try to do is painting two different pictures on that Josh and by the way it's 200 the year before in 205 last year. So let's think of it two ways right; number one is shelter and price and obviously us abiding by that and a lot of people working from home and a lot of our G&A is then suppressed just because is no really travel BD, etcetera, that we would normally be experiencing.So travel and entertainment goes down. Some of our usage and facility usages, electricity etcetera is going down everything that you would expect. I would say that's kind of path one. Path two is what we'll call the new norm potentially which is how do we really want to reshape our footprint, how do we want to reshape the way that we deliver our services if the digital unable net really takes off so to speak, that could be very different in terms of you know the operating cost etcetera.So Krishnan and the rest of the team really sat down and thought about this and are continuing to evolve in our through process but we feel like that will appropriately put more pressure long-term down on G&A as a percentage per se as any kind of expansion upward.
Josh Vogel: Okay. Great. And just one and I'll hop off. Krishnan, you had a comment around turnover being down. I was wondering if you can just give us some metrics there in both executive search and the consulting side. Just also given this environment, how important it is to hold on to your consultants? Are you thinking about making any changes to the fixed variable component, how you pay these people?
Krishnan Rajagopalan: Yeah, so let me just talk to attrition where in the single-digit range on attrition and so we're in a good spot. We're been working our performance management processes in the past. So attrition is quite low in the business right now. So that's a good place for us to be and we're trying to retain our team as well. So that's a good -- we have a compensation structure that is highly performance-based in any case.So based on the performance of the team, the revenues that we drive, that's how the compensation formula had worked across the board. So we're pretty comfortable with the structure of that formula at least.
Josh Vogel: Okay. Great. Well, thank you guys again and glad to hear you're both doing well.
Operator: Your next question comes from Kevin Steinke with Barrington Research. Please go ahead.
Kevin Steinke: Good afternoon, everyone. So you talked about seeing pockets of Asia beginning to normalize and you kind of tied that to maybe what a model could look like going forward as US and Europe recovered. Just trying to get a sense of how much those pockets in Asia normalize may be how far they are away from normal operations, normal capacity now just to get a sense of how quickly maybe an office or a region can recover as we go forward?
Krishnan Rajagopalan: So look, I think that it's early to have the true data on the ramp-up of those offices at they just are pretty much opened up in the last two to three weeks for us as well. What we can or I can tell you is that the energy level on those offices are high, the business community in those offices starting to come back and there are certainly a lot more conversations happening that we think will ultimately be towards additional projects.So we're on that track of trying to see that and we think it a positive trend, positive energy. So that's what we would imagine is going to occur in the US as well and Europe as well.
Kevin Steinke: Okay. Thank you for that and then last quarter you talked about $5 million to $10 million of incremental expenses for investments as you kind of look to the future. Should we think about those investments being put on hold as a component of G&A coming down or are you continuing to think longer term and looking to make those investments where you can?
Krishnan Rajagopalan: I'll take it first and maybe Mark you can jump in there as well. I think the way to think about that is that what we've done look it's obviously it's a difficult time as we laid out all of our investments for the year, we laid it out by month and what we did is we figured out the ones that we will differ and so some of them we may end up doing at the beginning of next year now and those that aren't necessarily a strategic. So we probably won't be investing as much, but we still got some very strategic investments that will continue to make.We continue to make some strategic hiring decisions, we continue to invest inside of H labs. We continue to invest in some key technology projects that we got underway to continue to advance our digital journey. So there are key investments we continue to make but there are several ones where we think now we can backfill, do a few other things differently and we're doing those things as well.
Kevin Steinke: Okay. Good and you talked about the drawdown on the credit facility and your link that to wanting to capitalize on opportunities and then you talked about how the facilities primarily for acquisitions and you're seeing a good pipeline. So I wanted to maybe get more color on that if indeed in this environment you're seeing more opportunities, cheaper opportunities and if you think you can really capitalize on some acquisition opportunities in this market environment here.
Mark Harris: You kind of see three different kind of storms coming together, which I think is interesting. I think obviously how the first one which is the market valuation adjustment that you see in the stock market. So prices are on the pressure down and the pressure up. I think the second one you have is liquidity just generally in the capital markets is very difficult.So we've seen that with a lot of what the government is trying to do, but we also know in the community which we plan venture capital community and financial services community, pricing is going to be very expensive. So then you can have the third element you know which is really kind of where we come in and say look, we have a very strategic long-term plan, we're talking to a lot of different companies.When we drew down that $100 million, it really was because we were in a phase of very strong discussions with some potential pipeline partners and our view was we didn’t want to get it hung out there in terms of any balance sheet issues that we don't control. So to have it at the ready to go is really what we were focused on and still are focused on and that's the reason we pull the trigger.I think to answer your question fully, it's going to create a really interesting opportunity again in terms of either accelerating from a long-term strategy or at least keeping us on the path that we were already in those conversations around, but the pipeline is consistent. My comment would be I would imagine over the next three to six months it is probably going to expand quite a bit just because it's going to draw a lot of people towards us.
Kevin Steinke: Okay. Thanks. That's helpful and I guess one last one here. You talked about the large consulting engagement in the first quarter and how that leveraged your corporate lab offering. I know you expect consulting to take somewhere to pause here in this environment, but maybe just talk about that link to the corporate lab and when thing start to normalize or maybe even in this virtual world, how you can leverage that corporate labs in your consulting engagements and how it was used in the first quarter?
Krishnan Rajagopalan: Let me take it. It's Krishnan here. So that's a great example. It's actually one of the offerings that we have now digitized and we're going to be launching it here in the month of May with this client impacted in the second phase virtual models. So it wasn't as we sold that project, it wasn't conducted that way but we figured out how to virtually deliver on that as well.So those kinds of offerings like that will continue to think through how we can offer that and digitize that and make that a virtual offer. So it's a great example in fact of the offering that we will continue to drive in that manner.
Kevin Steinke: Okay. Thanks for taking the questions. Best wishes for the next few quarters here.
Operator: Your next question comes from Tobey Sommer with SunTrust. Please go ahead.
Tobey Sommer: Thank you. Could you talk about how you're -- the constraint that you're using to manage the income statement amid the downturn and decline in demand? Are you managing through a margin level, revenue per consultants and some sort of utilization? What's your approach?
Mark Harris: So look here's your first approach because I've been through already several cycles. The first thing Tobey in my view that you want to do is you really want to think about what's in front of you okay. What's in 2021. What's in 2022. What you don't want to do is you don't want to right size for tomorrow's quarter. You want to right size for what's kind of longer-term down the path and that's the first thing we do.We take a view on that and then we step back and we make an assessment in terms of G&A and other types of spend and what makes the most sense from that. So the levers I think that you're kind of asking about is again we look at it from our travel perspective consultancy conferences, so strictly look at all sorts of things in terms of where we think that's going to generate. We look at what that's going to do to our margins. We feel very confident it's not going to impact our dividends. So there's no issue on that which is why we raised our dividend last year in the first quarter.We felt $0.15 were sustainable even for periods through periods like that. So just generally that's really what we kind of focused ourselves on. I think like a lot of people will do in this market if Q2 again depending if you're a legit company etcetera and you know your margin is going to be greatly impacted, you may not be able to save the negativity on the margin. You really want to focus on what's Q4, what's 2021 is going to look like and build yourself ready for that and it is what it is in terms of Q2 just so people understand the way you did it.
Krishnan Rajagopalan: Yeah let me just add, look I think we're in our scenarios we think we get close in your normal in 2021. So that's how we're thinking about the business, people and culture. It's our number one asset and in that scenario we're trying to pull the full Heidrick team through.Of course we do our normal performance management etcetera that we would do in any case and we've taken a lot of prudent actions we think related to cost I think about margin reducing hiring only doing some very strategic hiring. We're not backfilling, we've moved all of our learning and development, which is really important to a virtual platform over time and we run it on and we've laid out as I mentioned all these investments and try to figure out which ones do we do now, where do we have a little bit of ability to do it in a different way and we've taken all that excess or some of the excess capacity that we may have and we currently pull things are going to then accelerate us out of the -- out of this crisis as well training on digital IT on leadership, culture, all of those types of things. So that's our plan to attack this market.
Tobey Sommer: Okay. Are there any cash flow implications from searches being put on hold?
Mark Harris: It depends on where they are in the retainer process. If we can obviously extend if there was like the last payment for the retainer to extend that out a little bit, but for the most part the on-holds that are coming through are ones that have already more or less been paid for and they're just simply extending that path or putting on hold right now. And saying, look, we don't want to cancel, we're going to come back to it, and obviously it's been paid for. So that's kind of where we see that one falling right now.
Tobey Sommer: Okay. If we take a look at the business rather than through the lens of confirmations but through kind of the lens of actually filling positions at the end of a search, are there differences by level and sort of throughput -- are CEO searches really being closed virtually over the last six weeks or is it different sort of by level and category?
Krishnan Rajagopalan: Yeah, it's probably a little bit different by level and category. But we've seen it all. I mean, we have seen searches that we began and have concluded, which are CEO searches where they may have met the person along the way. I'm not sure we've done a top CEO search yet completely virtually. We've done them for CFOs, okay completely virtually already where we got the search virtually, we conducted it and replaced the candidate that way as well.So at the CFO level, I know that we've already done that and we've done that across the world at those levels. But at the lower levels, I would imagine that it might be a little bit easier, but our clients are also learning. I mean, these are urgent needs that they've got. And so, they're adapting. We've got many, many clients who are changing their recruiting processes as well, learning to leverage technology in terms of how they want to proceed. So this dial is moving fast is what I would say.
Mark Harris: Yeah, and the only voiceover I'd add to Krishnan point is we took kind of the pre-pandemic completion run rate and we looked at it and compared it to end of March and April and where -- if you're around that average, it's actually marginally above it.So we're not seeing that impact. And then to your other point, which is, because we're shifting in a different mix with the average retainers staying where they are, which is I made a comment on, it doesn't feel like that's being impacted. Otherwise, we would have seen a very dramatic shift in the average retainer. So it feels again, just mathematically that we're pretty much holding that course.
Tobey Sommer: Okay. Of the offices that have reopened after a period of shutting, are there any particular lessons and which ones have been kind of most successful at kind of re-accelerating business activity?
Krishnan Rajagopalan: Yeah, I think as I said before, they're kind of early in that game of sort of in the two- to three-week stage. I think there are a lot of lessons we pick up in terms of how to open an office or how to run that office; we're staggering teams in some cases to create the appropriate spacing, cleaning protocols, I mean, all kinds of things to give safety and to give comfort to people as well.So and it varies by geography between sort of the cultural norms of Asia and how it operates over there and some of the models and now we've got Copenhagen up and running as well. So no data yet that I could share with you on that, but I think a lot of lessons learned on how to open up offices safely.
Operator: [Operator Instructions] And your next question comes from Kevin McVeigh with Credit Suisse. Please go ahead.
Kevin McVeigh: Great, thanks. Again, hope all as well. Hey, and just a comment on the headcount in Executive Search and Heidrick Consulting, it looks like it was up year-on-year in the first quarter. Have you taken any actions there or do you plan to? And I guess just any thoughts on that as you think about cost given the environment we're in?
Krishnan Rajagopalan: Yeah, Krishnan -- look, as I said in this scenario that we're modeling and as we're seeing of where we're going -- we anticipate a difficult second quarter ramping up a bit towards the end of the third quarter, fourth quarter to be up and getting towards the near normal in 2021 under that scenario right now. We're trying to pull all the people through and we think that, as I said, people and culture, number one asset for professional services firms.So that's what we're trying to do. And of course, as I mentioned before for normal, there will always be performance management that we do. But beyond that, that's how we're thinking about it. Services firm. So that's what we're trying to do. And of course, as I mentioned before for normal, there will always be performance management that we do. But beyond that, that's how we're thinking about it.
Kevin McVeigh: It's helpful. And then Krishnan or Mark, is it fair to say that the kind of 25% decline in confirmations -- I know you're not giving explicit guidance. But would you expect revenue to kind of be above that 25% range or below it, as you think about Q2, Q3?
Krishnan Rajagopalan: I mean that's the complexity, right? As I said in the comments when we opened up, we had 25% as of now, I'm expecting that to slide further and as we get through April, excuse me, and into May. You have the backlog rolling over with the revenue recognition.So that's always going to kind of put some noise in the clock, so until I know how deep and the backlog performance kind of coming through, it's very difficult for me to tell you if that's going to be 25%, 30% or 10%. It's just -- a lot can happen, and then of course, you have June, which I don't have any realize on yet in terms of the performance that are coming through on it. So that's what makes it so complicated.
Kevin McVeigh: Yeah, I get that. And then Krishnan my last question, you talked about emerging stronger. As you kind of come out of this, what would kind of be three areas you'd focus on in terms of positioning Heidrick as you come out of this emerging stronger?
Krishnan Rajagopalan: Yeah, I think a couple of areas sort of -- areas we're working in today but I think helping companies with their digital transformation. I think that would be an area and clearly that we should be even deep -- more deeply embedded in. I think there will be some turnover as a result of all of this in the C-Suite and Board level, so continuing to work at the top. And then helping organizations accelerate out of this crisis. I think those would be the three areas that we'll continue to drive.
Kevin McVeigh: Great, thank you.
Operator: [Operator Instructions] There are currently no more telephone questions at this time. I'll turn the call back to the presenters.
Krishnan Rajagopalan: Great. Thank you everyone for joining our call today. I do want to reiterate, we hope that you and your families remains safe and healthy. A big shout out and thank you to the Heidrick team. Look, while there is uncertainty in this marketplace, which we acknowledge, we're also quite confident that we're going to emerge strong as one Heidrick team. Thank you everyone.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.